Operator: Good day, everyone, and thank you all for joining us to discuss Equity LifeStyle Properties' second quarter 2017 results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey; our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call, management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the Company's earnings release. As a reminder, this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meanings of the federal securities laws. Our forward-looking statements are subject to certain economic risks and uncertainty. The Company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. In addition, during today's call we will discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release, our supplemental information and our historical SEC filings. At this time I would like to turn the call over to Marguerite Nader, our President and CEO.
Marguerite Nader: Good morning and thank you for joining us today. I am pleased to report the results for the second quarter of 2017. We are now halfway through the year and we are experiencing continued high demand for our products as seen by lead flow, reservation activity and operating results. Year-to-date we have increased occupancy by 255 sites and this quarter marks our 31st consecutive quarter of occupancy growth. We sold 100 new homes at our MH communities with an average purchase price of $66,000. For the quarter, 33% of our new home sales were in Florida and 36% were in Colorado. Our conversion rates remain high as over 17% of our new and used home buyers were an existing customer living in our community. Our same store NOI growth was 4.8%. Our MH property posted a strong growth rate with a 4.8% increase in base rent revenue. The results are in for two of the three summer holiday weekends and we performed well over those weekends with a 6% growth rate. For the quarter we have seen an increase in annuals of 6%. Seasonal increase was 14% and the transient increase was 12%. While our holiday weekends are an important component for our summer operating success, we have seen increased activity outside of these weekends to help further [strengthen] [ph] our overall performance. Through our summer marketing campaign, we have increased the awareness of our product offerings and year-over-year we have seen increase in social media fans of 30%. The sales channel with the largest increase in revenue is digital, driven by the growth in reservations booked on mobile devices. Our websites are optimized for all devices to provide for a positive booking experience for the customers. Our customers are increasingly choosing the web as a vehicle to transact with us. Over the last three years, we have seen our transient web revenue increase from 10% to 32% of the overall transient revenue. In the quarter, our online Camping Pass sales increased 45%. I would like to thank our employees for their effort in delivering another strong quarter at ELS. I will now turn it over to Paul to walk through the numbers in detail.
Paul Seavey: Thank you, Marguerite and good morning everyone. I will discuss our second quarter results and update guidance for the remainder of 2017. For the second quarter, we reported $0.81 of normalized FFO per share, higher than guidance as a result of strong core property revenue growth offset by higher than expected expense growth. Our core MH rent growth of 4.8% consists of approximately 3.9% rate growth and 90 basis points related to occupancy gains. Our second quarter core RV resort base rental income growth was 8.1%, ahead of our guidance as a result of our performance in all length of the stay driven by strong demand across the country. Growth in annual revenues was mainly the result of rate increases in our on core resorts combined with occupancy increases in the Thousand Trails portfolio. Our southern resorts posted strong growth during the quarter. Core utility and other income was higher than guidance as a result of increased utility recovery offsetting higher than expected expense. In addition, we recognized approximately $300,000 of insurance recovery related to certain California properties that suffered damage from severe storms and flooding earlier this year. Membership dues revenue was in line with guidance for the quarter. During the quarter we sold approximately [4700] [ph] Trails camping pass memberships. Year-to-date we have sold approximately 7300 camping passes, a 10% increase over the first six months of 2016. During the quarter we sold 635 upgrades at an average price of approximately $6,000. The net contribution for membership upgrade sales was higher than expected as a result of price increase on our upgrade products and increased sales for our highest priced upgrade. Core property operating expenses were higher than expected in the quarter. Net of the revenues generated by utility and insurance recoveries, property operating and maintenance expenses were approximately $1.5 million higher than budget. Storm restoration expenses and higher than expected water and sewer expenses are the main contributors to the higher than expected growth. In summary, second quarter core property operating revenues increased 5.5% and core property operating expenses increased 6.5% resulting in an increase in core NOI before property management of 4.8%. Income from property operations generated by our acquisition properties performed better than guidance. The properties we owned prior to the beginning of the quarter performed in line with our expectations during the quarter. Property management, corporate G&A, other income and expenses as well as financing costs and other were in line with our guidance for the quarter. Year-to-date core property operating revenues increased 4.9% and core NOI increased 4.3%, driven by our core community base rent increase of 4.8% and our resort base rental income increase of 5.3%. Turning to our guidance update. The press release and supplemental package provide third quarter and full year guidance in detail. Please note the following remarks are intended to provide our current estimate of future results. All growth rates in revenue and expense projections represent midpoints in our guidance range. We have increased our full year 2017 normalized FFO per share guidance $0.01. Our range for the year is now $3.52 to $3.62. The midpoint for our third quarter normalized FFO guidance is approximately $83.3 million with a range of $0.86 to $0.92 per share. We expect the third quarter to contribute approximately 25% of our full year normalized FFO. For the remainder of 2017, we assume no change in our core MH occupancy from the end of the second quarter and expect community base rent revenues of $243.9 million. A growth rate of 4.6% for the remainder of the year. In our RV business we anticipate core RV revenues of $102.4 million for the rest of the year. A 5.2% increase over the second half of 2016. This projection is based on expected growth of 5.4% from our annual customers, 5.6% from seasonals and 4.6% from transient customers. We expect between 40% and 45% of the full year transient income will come in the third quarter. Based on our review of current reservation pace and overall expectations for activity in August and September, we are projecting 6% growth in transient revenue for the third quarter. Dues and membership sales revenues for the second half of the year are expected to be $28.8 million. The associated sales and marketing expenses are anticipated to be approximately $5.7 million for a net contribution of $23.1 million. Core operating expense growth is projected to be 3.5% for the full year. Our current guidance for the second half of 2017 does not include an assumptions regarding unplanned storm events. During the second half of 2016, we incurred $2 million of expenses related to unplanned events. Adjusted for that 2016 activity, our normalized core operating expense growth rate would be 2.5% for the remainder of the year. For the rest of the year, core property operating revenues are anticipated to be up 3.7% with an increase in core property NOI of 5.4%. We expect that non-core properties will contribute about $3.6 million in income from property operations for the remainder of the year. For the full year we project $8.8 million of income from property operations from this group of assets. Property management and corporate G&A is expected to be $39.9 million for the remainder of the year and $81 million for the full year. Other income and expense items are expected to be approximately $5.8 million for the rest of the year and approximately $13.8 million for the full year. Financing cost and other in the second half of the year are expected to be $54 million. Our guidance includes the interest expense associated with the debt we assumed with our acquisition in the second quarter. Now some comments on our balance sheet. During the quarter we funded investments of approximately $17 million using available cash. We also assumed a $5.9 million loan with a remaining term of approximately 23 years and a 4.6% coupon. We continue to see strong interest from various lending sources to finance our MH and RV assets. Current secured debt terms available for MH and RV assets range from 60% to 75% LTV with rates from 3.85% to 4.15% for 10-year money. High-quality, age-qualified MH will command preferred terms from all lending sources. Fannie and Freddie, CMBS lenders and certain like companies are offering debt to finance RV assets. The current lender underwriting model for MH and RV assets places high value on strong sponsorship. Our interest coverage ratio is 4.3 times and our debt to adjusted EBITDA is 4.9 times. Our cash balance at the end of the quarter was $68 million. After adjusted for restricted cash in our July dividend, available cash is approximately $20 million. We have no outstanding balance on our $400 million line of credit which has approximately one year remaining and carries a one year extension option. Now we would like to open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Joshua Dennerlein with Bank of America Merrill Lynch. Your line is open.
Joshua Dennerlein: Question, did you guys disclose cap rates on the two acquisitions you -- two properties you acquired during the quarter?
Marguerite Nader: We didn’t disclose it but we can discuss it now. So they both had about a 5.5 cap going in with some room for growth potential in the next couple of years.
Joshua Dennerlein: And room for growth, is that because there is empty sites where you can put expansion sites on it or just...
Marguerite Nader: There are some available, some vacant sites. It's not so much expansion but some vacant sites and it's really just kind of changing around the management of the community.
Joshua Dennerlein: Okay. And is there any CapEx needed for the sites?
Marguerite Nader: No, not a whole lot of CapEx needed.
Joshua Dennerlein: Okay. And how come you went into a JV on the St. Petersburg, Florida asset, [mainly] [ph] how does that come about?
Marguerite Nader: Yes. The JV that we entered into is with a partner that we have worked with over the last 20 years and he is actually a JV partner with us in two other deals. And the asset needs a little bit of repositioning just from kind of a standpoint of marketing and the customer base and our partner has a good track record for turning around those properties.
Operator: Thank you. Our next question comes from the line of Drew Babin with Robert W. Baird. Your line is open.
Drew Babin: Looking back to last year it looks you overall RVs revenue growth went from 6% in 2Q to 7% in 3Q. So I think it's kind of accelerated somewhat sequentially. Can you talk just anecdotally about what you are seeing right now in your business kind of going through the remainder of the summer relative to last year and whether there is anything specific behind the third quarter guidance being kind of a step down from what the actual results were in 2Q?
Marguerite Nader: I think what we are seeing and what I mentioned in my remarks, we had a strong July 4 weekend. And a lot of what we are seeing is happening that in July, the weekends in July, kind of non-July 4th weekend are strong. So I think comparisons to last year are -- they are very similar to last year and the reservation pace is pretty equal. And that’s really coming as a result of seeking new customer bases as we look to reach out to different sources of customers from the hospitality industry which is where we are reaching out and finding new customers that way.
Drew Babin: Okay. That’s helpful. And then secondly, Paul, looking at the balance sheet, is there anything that you can provide on the preferreds that become callable in September. Thoughts about that and whether they might be replaced with some other term secured debt?
Paul Seavey: Yes. I don’t have anything to say specific to that right now. I would say that we have talked in the past about the opportunity that continues to exist to finance on secured basis for the long-term. But there has been no decision made as it relates to the preferred.
Marguerite Nader: And Drew, we have our board meeting coming up. So we will be having those discussions at that time.
Operator: Thank you. Our next question comes from the line of Nick Joseph with Citigroup. Your line is open.
Nick Joseph: Just going back to the JV in St. Petersburg. Is that an opportunity that your partner brought to you or did you bring the partner in?
Marguerite Nader: We actually found the asset and we looked at it and we said this is something that makes sense to work with our JV partner. It was part of our acquisitions team.
Nick Joseph: Thanks. And then just more broadly on acquisitions. What are you seeing in the pipeline today and do you have any interest in the larger portfolio deals that are on the market?
Marguerite Nader: I mean the pipeline what we see is similar to what we have seen in the past. So no real change there. But as to some of the portfolios that are out there, I think we talked about that if they are not really of interest to us and if they were to be kind of puller apart and broken apart into pieces. But the ones that are out there right now are really not of interest.
Nick Joseph: Thanks. Are there any indications that that could happen, that those portfolios could be disaggregated into smaller pieces.
Marguerite Nader: I don’t know. It kind of changes on a regular basis as to what's going to be happening. So I am not sure -- I am not sure where it lands. So we are hanging around the hook.
Nick Joseph: Thanks. And then just finally on occupancy. You are getting closer to the 95% high watermark. So just current thoughts on the ability to achieve 95% and maybe even exceed it going forward.
Patrick Waite: Yes, sure. It's Patrick. With occupancy at 94.3%, obviously we are closing in on 95%. We are about 500 occupied sites away from that historical high watermark. Given how the first half of the year went, I would expect that we can achieve 95% occupancy as long as the markets hold up and we continue to execute. It's just a matter of time and working through, continuing to selling homes and drive occupancy.
Nick Joseph: Thanks. Just to confirm, within guidance there is no assumed additional occupancy from today?
Patrick Waite: That’s correct.
Operator: Thank you. Our next question comes from the line of Gwen Clark with Evercore ISI. Your line is open.
Gwen Clark: I have a bigger picture question. Can you walk us through how you guys go about putting rate growth for the MH [indiscernible] Particularly, if you could just talk about the timing when you go into the community then what that discussion is like, that would be great.
Patrick Waite: Sure. We are actually at the very early stages of our budgeting process now and our revenue management team is working through projected rate increases with our field teams over the next couple of months. Generally, the way that process starts is a review of market surveys, where we are relative to the competition, and then we come up with projected rate increases that we review at a senior level. Once those are established, rate increase letters are sent out. That happens in the latter part of the year with lion's share of those rate increases being effective in the first quarter. Depending on where we are in the country, there may be a process of more involved discussion with resident bases. Just as an example, in Florida home owners associations are structured in that market where there is typically a dialog between the owner-operator and the home owners association with respect to their shared views on rate increases. So generally we will be working through that process over the coming weeks with letters to go out later in the third and early fourth quarters and we will work our way into 2018.
Gwen Clark: Okay. That’s helpful. And just one quick follow up. Do you find that that the process is different on age restricted assets versus and all age?
Marguerite Nader: I think the process is very similar in terms of just what we do in terms of looking at what's happening in the marketplace. Maybe on the all age side you are looking at more closely at what's happening in the apartment market in and around. We do that on the age qualified side as well but it's a little bit more relevant. So if there is specials or there is some type of concessions being made on the apartment side, that’s more relevant. But the procedures are very similar.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Todd Stender with Wells Fargo. Your line is open.
Todd Stender: Paul, I think you were highlighting some of the expense growth that you saw in Q2. Was that primarily from the West Coast storms? Did that kind of trickle into the second quarter?
Paul Seavey: Yes. Well, we had a couple of things. We have seen elevated utility expense, broadly, for the first half of 2017. Mainly usage and electric, water and sewer, and we have had some corresponding recovery associated with that to offset the elevated expense. But then in the second quarter we did record about $900,000 of expense following those storms in California and then did have insurance recovery that we recognized to offset that as well.
Todd Stender: Got it. And then you were providing the second half of last year expenses as a comp. Does that suggest that you could be a little conservative going into the back half of this year just because you are applying the growth rate to that number?
Paul Seavey: Well, we are essentially I think, what I am trying to say is that we haven't made an assumption with respect to those types of events in the second half of 2017. And I would say we have talked about it a bit, we have just seen some increased volatility as it relates to these events and the impact on the business. So just want to highlight that as something that’s not dialed into the numbers.
Todd Stender: Got it. Okay. That’s helpful. And then when looking at total home sales, what percentage of the home sales represented the rental conversions in the second quarter?
Paul Seavey: Overall it was -- let me walk through it this way to help provide a little additional color. The conversions as Marguerite mentioned overall were 17%. 12% of those new and used home sales were to existing renters. The balance which gets us to 17% overall what we refer to as the conversion is the sales of an ELS home to another renter or owner in the property that was not a renter of one of our homes. So it's roughly in the 10% to 12% range.
Todd Stender: Okay. Thank you. And with home sales volumes coming in, I guess on a comparable basis versus second quarter last year. Is the emphasis not as much on home sales or you are kind of getting maybe some pricing resistance.
Patrick Waite: I wouldn’t characterize it as pricing resistance. I think there is a couple of factors with respect to the relative performance year-to-date. On the MH side we are getting very high occupancy in a number of the markets that drive our overall occupancy growth at some of our core in Florida as well as some of our core in the Colorado market on the RV side, which also contributes a portion of our overall sales. We have a couple of properties where we have ongoing expansion in home sales. One of those properties performed vey very well for us last year and we are really focused on trying to match that outside performance that we have had last year, haven't seen it so far through this part of 2017 but as we move into season, latter part of 2017 and into 2018, we are hopeful that that will pickup. As well we have another RV property where we developed 50 sites last year. We sold out those premium sites in the last year, it slowed slightly.
Todd Stender: Thanks. And then just lastly, on the JV in St. Pete, is there a purchase option or anything after a couple of years? Maybe once you get stabilized or you like what you are seeing. That’s part one. And part two, do you generate any management fees over the course of this?
Marguerite Nader: Well, a couple of things. This is, like I said, with an existing JV partner and there is a buy-sell after a certain period of time consistent with our other JV relationships we have with him. Any he is actually the manager of the asset.
Operator: Thank you. And our next question comes from the line of Ryan Lumb with Green Street Advisors. Your line is open.
Ryan Lumb: To stay on the topic of occupancy and as high as it is, would there be any change of approach to your rental business and how you think about replacing over time the spaces that are being taken up by the less desirable or less sustainable renters and replacing them with new home owners as sort of leases come due.
Marguerite Nader: You know we have actually done that in the past where we have gone in and we have said, we have taken a street and we have looked at it and we said there is homes that are for sales right now. We will take those homes out and put it new homes. So it is a process in, certainly in a robust market. That’s something that we can do. And in some locations we are doing that, not to the extent of a whole street at a time but it certainly it upgrades the community. Upgrades the kind of the look and the feel of the community and it's always good to have new homes coming in. I don’t think that’s something that we do want to writ large bases but it is something that we do property by property.
Ryan Lumb: So say a year from now when we reach or get closer to that 95% occupancy point. Is that a lever that you guys would pull or really love to, as you said, upgrade the quality of the property?
Marguerite Nader: I don’t think there is any difference from now, from a year from now in terms of the way we would do it. Where we see opportunities and where we see opportunity is to upgrade the community, we would do that and we will be able to do that while at the same time maintaining the rents, that strong base rent growth. We would continue to do that. So I don’t know if there will be a change from now to a year from now.
Operator: Thank you. Since we have no more questions on the line at this time I would like to turn it back over to Marguerite Nader for closing comments.
Marguerite Nader: Thank you all very much. Paul Seavey is around for any additional questions. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.